Operator: Good day, everyone, and welcome to the PDF Solutions Inc. Conference Call to discuss its Financial Results for the [fourth quarter and year-end 2023 Conference Call Ending Saturday, December 31, 2023] (sic) [First Quarter 2023]. [Operator Instructions] As a reminder, this conference is being recorded. If you have not yet received a copy of the corresponding press release, it has been posted to PDF's website at www.pdf.com. Some of the statements that will be made in the course of this conference are forward-looking, including statements regarding PDF's future financial results and performance, growth rates and demand for its solutions. PDF's actual results could differ materially. You should refer to the section entitled Risk Factors on pages 15 through 29 of PDF's annual report on Form 10-K for the fiscal year ended December 31, 2022, and similar disclosures in subsequent SEC filings. The forward-looking statements and risks stated in this conference call are based on information available to PDF today. PDF assumes no obligation to update them. Now I'd like to introduce your host, John Kibarian, PDF's President and Chief Executive Officer; and Adnan Raza, PDF's Chief Financial Officer. Mr. Kibarian, please go ahead.
John Kibarian : Thank you for joining us on today's call. If you've not already seen our earnings press release and management report for the first quarter, please go to the Investors section of our website, where each has been posted. The first quarter was a good start to our year, revenue remained strong, and we benefited from our newer strategic partnerships as we experienced continued adoption of our end-to-end analytics by our customers. Before Adnan discusses the financials in detail, I have some comments about the events in the first quarter and our perceptions of the market in the second quarter and the remainder of the year. Bookings were light in the first quarter following a record bookings in Q4. This is a similar pattern to Q2 of last year, which also followed a strong quarter. Despite the bookings level, activity with customers remain very strong. In the quarter, we started benefiting from our collaboration with SAP. We experienced our first large 7-figure booking for our products that integrate SAP's HANA ERP data with manufacturing analytics data, enabling more accurate and timely applications for operations and finance organizations. Our solutions are designed to enable customers to react more quickly to changing business environments. This product is a result of our collaboration with SAP as well as our acquisition of Cimetrix that we completed about 3 years ago. The solution provided to the customer includes our Sapience Manufacturing Hub which enables near real-time connection between ERP, manufacturing and engineering data, as well as extensive application that leverages financial, operational and engineering data. More than this being an important first proof point for our collaboration with SAP, many of our customers are expressing interest in this application. While SAP-generated business was the largest strategic partner related booking in the quarter, our other collaborations also resulted in bookings and important leads. In total, over 40% of bookings in Q1 were via our strategic partners. This speaks to the value of our collaboration strategy. As the largest independent end-to-end analytics SaaS provider to the semiconductor industry, we are a natural partner. Other significant bookings in the quarter include contracts for leading edge infrastructure for advanced development, including one with a memory customer. Our memory customers are experiencing a strong correction this year, so we were encouraged to see this customer investing with PDF solutions. Gainshare remained nearly unchanged from Q4 of last year as customers, particularly in China, shipped at similar volumes. Finally, bookings for Cimetrix's connectivity runtime licenses decreased meaningfully in Q1 versus Q4 as our customers' equipment shipments decreased. This is not surprising given the weakness in the capital equipment market. Overall, with our strong backlog and business model, where most of our revenue is ratably recognized, we continue to deliver strong results in revenue and earnings. We were pleased with the business activity in the quarter as it demonstrates the strength of our business model and partnership strategy. Now let me turn to discuss product development. Beyond the Sapience Manufacturing Hub, we have other new products and capabilities coming up this year. This includes the next advancement in our eProbe DFI tool. As part of the large contract we signed last year, we shipped the first of these advanced tools in April. It is designed for customers ramping 3- and 2-nanometer technologies, which often include backside power and gate-all-around structures. We are very excited about this milestone. Customers are building more system and package products, targeting end markets where quality is key, such as automotive and data center. For these customers, it is critical to use more advanced test screening at more test insertion points. We have built Exensio test exactly for this emerging need. This week at Advantest's Voice Conference we will demonstrate the next set of applications for their ACS edge box. These applications are designed for customers to deploy ML models at scale and benefit from our DEX Data Exchange Network and Exensio cloud platform, and managing the required data feed forward and feed back as well as model building and model quality monitoring. Overall, from a product release standpoint, we expect the first half of this year to be very fruitful, which we believe will set -- will position us to have a strong results in the second -- strong results this year and in the future. One quarter into 2023, the semiconductor environment is unsettled. There has been an inventory correction affecting many of our fabless and IDM customers. This has also generally impacted the foundries, OSATs and equipment companies that we serve. While the short-term environment is unclear, the long-term drivers for our customers, including increased use of AI/ML, cloud, smart devices and the electrification of the energy economy, remain in place. These drivers are being amplified by the various government investments in semiconductors we are seeing around the world and the increased diversification of the supply chain that many of our customers are embracing. We remain confident in the outlook we provided earlier this year of overall annual revenue growth for the year approaching mid-teens. We would also like to announce that on October 24 through the 26, we will have the PDF users group meeting at the Santa Clara Marriott. As with our pre-COVID event, we will host an Analyst Day on October 24. This gives our customers, partners, analysts and stockholders a chance to see the latest capabilities in PDF and also learn from each other. We hope that you'll be able to attend. I want to thank all the PDS employees and contractors for their efforts this quarter. Now I will turn the call over to Adnan who will review the finances and provide his perspective on our results. Adnan?
Adnan Raza : Thank you, John. Good afternoon, everyone. Good to speak with you again today, and I hope all of you and your families are well. We are pleased to review the financial results of the first quarter of 2023. As mentioned, our earnings release and the management report are posted in the Investor Relations section of our website. Our Form 10-Q was also filed with the SEC today. Please note that all of the financial results we discuss in today's call are on a non-GAAP basis, and a reconciliation to GAAP financials is provided in the materials on our website. We are off to a good start with the first quarter of 2023. Total revenues for the first quarter were $40.8 million, up 22% over last year's first quarter and up slightly on a sequential basis as well. Analytics revenue came in at $36.3 million, an increase of 19% year-over-year and also up slightly on a sequential basis. Our year-over-year strong performance is a result of the strength from Leading Edge and Exensio business, offset by some of the equipment shipment trends we saw recently. For our Exensio products, we are benefiting from the recent large deals we spoke about over the last few quarters, utilizing the Exensio platform across manufacturing operations. For our leading edge solutions, we continue to engage strongly with multiple customers and see opportunities to expand this business. For our Cimetrix products, while we saw a meaningful impact due to the downturn in capital equipment spend, we benefited from our investments in new products such as Sapience Manufacturing Hub. Taken as a whole, we believe our analytics business continues to be strong, exhibiting near or in-line growth to our long-term growth targets. IYR revenue came in at $4.4 million and was up 44% over last year's first quarter. We are pleased that we have been able to rebuild this business over the last 1.5 years to meaningful levels. Our backlog for the quarter ended at a strong $261 million level, though down from $278 million a quarter ago. As John mentioned, our bookings will vary in size from quarter-to-quarter, and we are encouraged by what we see in our pipeline for the rest of the year. On a year-over-year basis, our backlog at the end of Q1 is up over 30%. Our gross margin for the first quarter came in at 75% versus 69% for Q1 last year and 74% for Q4, as we benefited from incrementally higher revenues and were able to realize savings from lower expense accruals and some cloud spend optimization. Our operating margin for the first quarter came in at 19% versus 11% a year ago same period and 20% of prior sequential quarter. On a year-over-year basis, the operating margin expansion was driven primarily by stronger revenue growth, coupled with lower expense growth from our cost of sales and operating expenses. We have improved our margins compared to last year as we reap the benefits of scale in our cloud business, allowing us the ability to apply engineering resources efficiently and more effective cloud spend. Net income for the quarter totaled $7.3 million or $0.19 per share, both essentially similar to Q4, however, meaningfully higher compared to Q1 last year's net income of $3.7 million or $0.09 per share. For year-over-year, our EPS increased by $0.10 per share. Turning to the balance sheet. We have carefully managed our cash position and carry 0 debt. We ended the quarter with cash and equivalents balance of $133.5 million, compared to $139.2 million at the end of prior quarter, with the change driven primarily due to timing of payment of accrued employee bonuses and CapEx spend to support the opportunities ahead of us. As we look to the next quarter and the rest of the year, we expect to moderately increase costs for ramped investment to meet the bookings opportunities and customer pilots for a stronger second half of the year. For the full year 2022, we continue to be comfortable with our previously stated revenue growth rates approaching mid-teens on a year-over-year basis. All in all, it was a solid first quarter and positions us well for the rest of the year. We are pleased with the resilience of our business model and the realized and potential value from our strategic partnerships. We also look forward to hosting you all during our planned Analyst Day and PDF User's Group conference starting on Tuesday, October 24. Please look for a save-the-date press announcement later this week. With that, let me turn the call over to the operator for Q&A.
Operator: [Operator Instructions] And our first question comes from the line of Blair Abernethy from Rosenblatt Securities.
Blair Abernethy : Great quarter, guys. John, I wonder if you could just give a little more color around the manufacturing execution systems solution with SAP. And just in terms of this 7-figure deal, how long -- what sort of selling cycle here and maybe some sense of what the pipeline looks like going forward?
John Kibarian : Sure. Thank you, Blair. So the selling cycle, we've been in discussion -- we've been working, I think, with SAP on this now for a couple of years. I wouldn't say that was the selling cycle. But that was definitely our work with them on designing out this application, building out the software for it, showing it to a number of early potential customers, of which this first customer is one of them. And it closed actually relatively quickly, with them, I think, helping us quite a bit to understand how to participate in that part of the market. Because it's obviously working with parts of the organization, companies, customers -- companies that have been our customers, in some cases, for years, but a different part of their organization. The applications take advantage of the real-time information that Exensio has, how much consumables are used for each way for how much time are they -- is the way for going through each tool, what are the yields at different insertion points. So when you combine that with the ERP data and also the data that is in the manufacturing execution system, the operations organizations can have a very accurate costing model. I understand really truly what their costs are on a per product basis on a per route basis. And then a number of other applications that enhance their ability to look at field returns and understand the economic analysis. In this first contract, we sold the costing module and the base platform that connects data together, deployed to a customer that is doing a large SAP deployment. And we talked with, as I said, a number of other customers, probably a handful at this point, that SAP have brought to us other companies that are also interested in the same application. And we see that it's got -- before we embarked on this, we felt there was a pretty good demand for this as we talk to other customers beyond the ones SAP have brought to us. We do hear a constant desire from companies. They want to be more nimble. And as the supply chain gets to be more and more sophisticated, having all of these speeds, handle them a very automated real time -- near real-time way becomes increasingly important for the customer base. So it really is a new way to use Exensio data and the Exensio connection. And we're super happy that SAP have worked with us to help us understand this application and build out this capability.
Blair Abernethy : That's great. And Adnan, if I could just ask just from your perspective. Could you just clarify the -- you said some of your spending areas are going to be going up this year. Could you just go through that again? And also, in terms of your sales and marketing spend in 2023, how are you feeling with respect to the spending levels for partners, the rep count and so forth? What are your sort of plans there to continue to drive growth?
Adnan Raza : Yes, sure. So look, I mean, #1 goal for us is to continue to grow the business. And as we focus on that growth from time to time, and not necessarily matching the revenue that we may realize just because of 606 and function of where the bookings come in, you will see us ramp up the investment. This was true a few years ago, right, before we were getting ready for the Advantest engagement. This was true last year and the year before when we were doing some of the leading edge engagements. So this comment is just similar to those past events that we have seen as well. You're also hearing from us how we feel about the rest of the year in terms of some of the booking in the pipeline and how that makes us feel good. So some of the comments with regards to increasing some of that spend are related to getting ready to do some of those bookings. As to the sales and marketing spend, look, this is again another area we try to optimize. With the increased revenue and the increased scale that we have, we hope that those margins will improve over time. But we take a close look at that from a quarter-to-quarter. Most of our increase, I think we expect would be on the kind of R&D development areas as we ramp up the capabilities of our solution set and platform for serving the customers.
Operator: And our next question comes from the line of Tom Diffely from D.A. Davidson.
Thomas Diffely : John, I thought I'd ask you a little bit more about the memory customers. I mean, historically, memory has not been a huge portion of your business. I'm just curious what's driving an increased activity level there.
John Kibarian : Sure. Thank you, Tom. Yes, we've seen this with this customer as well as others. When you look at futures of computing, it involves memory moving from being a commodity separate subsystem kind of through some very standard interfaces to the processing elements, to more and more memory as a more integral part of the compute system. So customers are wanting to get better statistical characterization of the logic portion of the memory elements, to design more sophisticated interface capabilities, be able to characterize them and control them in manufacturing. In the past, historically, the logic portion of the memory was really kind of built with legacy or relatively relaxed design rules, typically not very aggressive in terms of performance and kind of an afterthought. Now what we see customers, this one and others, increasingly looking at is how do we really integrate memory with logic, how do we get more performance there. And of course, some of this is coming in because memory technologies are moving like -- if you look at the X-stack technologies, with the flash element on one wafer, the logic element on another wafer, then you bond them together, certainly gives you a lot of ability to use more advanced nodes, more sophisticated logic. So this is not an insignificant contract. It kind of demonstrates early interest from the customers. And as we alluded in my comments, this is kind of like what we saw a couple of years ago as we started putting our toe in the water with some other new customers when they start out with the characterization around this PDK area, and it generally expands into a more broader characterization if we're successful. And of course, we have to demonstrate the value of our systems to them. But I think the broader trend that you're asking about, Tom, is really this idea that memory subsystems are going to increasingly become important as you get more performance per watt per dollar for future computing systems. And hence, with or without PDF, I think the world is going to have an awful lot more use of advanced logic and memory subsystems.
Thomas Diffely : Okay. And it sounds like it's a lot more complicated than just going from DDR4 to DDR5 and increased logic, but it's just a lot on the heterogeneous packages that are being put together.
John Kibarian : Correct. Yes. You're right.
Thomas Diffely : And then on the automotive side, are you seeing the strength on the power side with silicon carbide or the control side with just the silicon?
John Kibarian : In terms of the places where the most sophisticated test operations are being applied, I think you kind of referenced to my comments around customers looking for the most sophisticated test screening. We do see that on a lot of the ADAS, because the chips are quite sophisticated. They're trying to use FinFET and below technologies in cars, which historically cars -- the controllers that go into cars would be very, very relaxed geometries relative to the leading edge. So the time between when, let's say, you would see 7-nanometer in your phone and you would see 7-nanometer in your car, on the historical time scale, that would have been measured in decades. Now it's measured in years. And so the screening sophistication we're seeing first happening there. . We are seeing an increased use of analytics for silicon carbide. Silicon carbide primary still is in a lot of the bring-up stages. And the sophistication and end-to-end analytics is, I think, really still just getting there. So I'd say the first place we see this more advanced capabilities on the leading edge, where they're trying to use technologies that are not that far behind the phone companies, which tend to use them first. So -- and we expect it to kind of spread across the majority of the automotive market over time. Test sophistication will go up across the automotive market.
Thomas Diffely : Okay. Makes sense. And then when you see some strength in the data center side, are you starting to see kind of the next-generation silicon photonics as well?
John Kibarian : We do have some small number of silicon photonics customers on Exensio. I think I alluded to that in one of our previous calls. That part of it is still very, very nascent. Really still in the R&D stages with folks using the system to look at R&D silicon. The data center side, we see an increased number of application-specific chips designed by a broader set of companies than your conventional processor-vendors that are driving more use of Exensio. And we anticipate that trend continuing as you're seeing the workloads being moved to more and more specialized logic that is driving more complex assembly flows, as well as analytics being performed by a class of companies that historically didn't really design their own silicon.
Thomas Diffely : Okay. Very helpful. And then maybe just a quick clarification question. The 7-figure deal with SAP, is that for PDF alone? Or is that a joint venture? How would you describe that?
John Kibarian : Yes, that's -- so that's just for our product. We are available. If you look at -- the Manufacturing Hub is on the SAP website, it is a product on the SAP store. So when sold to the store, they do get a commission on that. So that does drive revenue for them from time to time, but it is primarily our product.
Thomas Diffely : Okay. Great. And then final question. When you look at the Cimetrix installed base, what is the opportunity for upsell with new products in that installed base?
John Kibarian : Yes, that's a great question, Tom. And one of our -- really 2 direct ideas we had when we did the Cimetrix merger. The first was ways of bringing new data types and new connectivity to analytics. And this SAP opportunity, not one we had really originally imagined, but really it's kind of in the spirit of that first, really bringing new data types into analytics was the first piece. The second piece of it was bringing our analytics products to equipment companies. Most of the larger equipment companies generate recurring revenue from their equipment by making analytics available to improve the uptime for equipment, the functionality equipment, the use of consumables, and these are usually of large service contracts. When you look at the Cimetrix installed base, we do have a couple of the top 5 companies using Cimetrix's connectivity, but a lot of the customers are equipment company, #5 through 50. And for them, they need a -- they want to generate recurring revenue with analytics or with some services, too, that are analytics based. So we've been actively working in development, making new analytics products that leverage the equipment companies' ability to create new service products, leveraging our analytics, their incremental data types and the infrastructure platform that combines Cimetrix, Exensio bring. We're hoping to engage with customers on that as we get through this year and into next year. But that is the second leg of the relationship. The E142 was kind of the first one of those traceability. We've already released that. But there are some others that we are working on that would enable the equipment companies to generate recurring revenue stream, which is a desire for most of our customers.
Operator: [Operator Instructions] And our next question comes from the line of Christian Schwab from Craig-Hallum Capital.
Christian Schwab : Good quarter, guys. So I just -- one quick question around backlog. I mean, I know the vast majority of that should be done over the next couple of years, which gives you great visibility. Is this something that we think over time as it's worked through is going to move down materially? Or do you expect to have that type of visibility continue to be layered on, say, like where should we expect backlog to be exiting calendar '23, John?
John Kibarian : Yes. I mean, I know that we've got -- I can't give you kind of a specific number on a specific quarter. On a year-over-year basis, we generally expect it to grow, Christian. How it exactly does on any given quarter versus the previous quarter, of course, that's always like this quarter, right, it's down a little bit. We do see a lot of significant deals out there for us. Timing is always difficult. Is it a Q3, Q4, Q1, that could affect where you are at the end of the year. But on a year-over-year basis, we generally expect it to increase.
Adnan Raza : And like John mentioned in his prepared remarks, if I could add, a similar pattern to what we saw last year. If you looked at our backlog at Q2 of 2022, it was down compared to Q1. So it's more function of timing of the bookings. We'll always look to annual performance and how we can exceed that year-over-year.
Christian Schwab : Great. And then, I guess I do have one quick follow-up. Can you give us an update on Advantest and how much pull-through is -- or new opportunities have come from them? What type of level that customer is -- business is ramping to or where you would expect it to ramp the next year or 2?
John Kibarian : Yes. So it's great. Our first product that we announced with them was dynamic parametric test, or DPT. We've come up with a derivative of that. That continues to book, I would say, a couple of times a year, we see incremental bookings from that. That continues to grow. It's an all-ratable business. So obviously, every time we are booking incrementally more, it's layering on more. We've announced 5 additional products, I think, in Q3 of last year when they announced their Advantest ACS Edge store. Those products are out. We're out doing demos with them on those products with customers and entering in some pilots. So we anticipate at some point over the next few quarters, Christian, they should start also like dynamic parametric test, start driving incrementally valuable revenue. And then we announced -- we're announcing at this -- demonstrating at this Voice this week, their user conference, which is going on today actually, additional products that really leverage our AI/ML capability. So those first set of products released were primarily statistical and model -- and rule-based tool applications. These are all ML model-based applications allowing for data feed forward, data feed back. Customers can bring their own model or leverage the PDF modeling environment. And we anticipate having those on their store over the next quarter or so, they are releasable now. And then we would anticipate by then we would have somewhere north of 8 apps on their store, and we anticipate those going through the same kind of eval selling cycle. So hopefully, over the next year or so, that these products will start driving more revenue. In the meantime, I think both for Advantest and PDF, our commitment to bringing more advanced analytics to the marketplace, we've helped each other in the market, I would say, in different accounts, where their vision with their Edge box and our vision with advanced modeling has been point for them to sell Edge boxes and the point for us to sell modeling capability, even if it's not directly through the store.
Operator: Thank you. At this time, there are no more questions. Ladies and gentlemen, this concludes the program. Thank you for joining us on today's call.